Operator: Good afternoon and welcome to the PennantPark Investment Corporation's Second Fiscal Quarter 2023 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn Chairman and Chief Executive Officer of PennantPark Investment Corporation. Mr. Penn, you may begin your conference.
Art Penn: Good afternoon, everyone. I'd like to welcome you to PennantPark Investment Corporation’s second fiscal quarter 2023 earnings conference call. I'm joined today by Rick Allorto our Chief Financial Officer. Rick, please start off by disclosing some general conference call information and included discussion about forward looking statements.
Rick Allorto: Thank you, Art. I'd like to remind everyone that Today's call is being recorded. Please note that this call is the property of PennantPark Investment Corporation. And that any unauthorized broadcast of this call in any form is strictly prohibited. An audio replay of the call will be available on our website. I'd also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward looking information. Today's conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of related SEC filings, please visit our website at pennantpark.com or call us at 212-905-1000. At this time, I'd like to turn the call back to our Chairman and Chief Executive Officer Art Penn.
Art Penn: Thanks, Rick. We're going to spend a few minutes and comment on our target market environment provide a brief summary of how we fared in the quarter ended March 31st. How the portfolio is positioned for the upcoming quarters, a detailed review of the financials and open it up for Q&A. For the quarter ended March 31st.  Our net investment income was $0.26 per share. Core NII was $0.21 per share, and excluded $0.05 of one-time interest and dividend income. GAAP NAV decreased slightly to $7.60 per share from $7.71 per share, or 1.4%. This decrease was driven largely by valuation adjustments on equity call investments partially offset by net investment income in excess of the dividend. Our debt portfolio continues to benefit from rising base rates, as of March 31st, our weighted average yield to maturity was 12.1%, which is up from 11.9% last quarter and 8.4% last year. As a result of a stable debt portfolio and growing net investment income. The board of directors has approved another increase in the quarterly dividend to $0.20 per share. This is an 8% increase from the prior quarter and the 38% increase from a year ago. The dividend will be paid on July 3rd to shareholders of record as of June 15th. We are confident that with the continued strong credit performance, the increased dividend will be more than fully covered by net investment income. For the quarter ended March 31st, we invested 58 million in new and existing portfolio companies at a weighted average yield of 11.8% and at sales and repayments of 114 million. For the investment to new portfolio companies, the weighted average debt-to-EBITDA was 4.3 times. The weighted average interest coverage was two times and the weighted average loan-to-value was 49%. On March 31st, the JV portfolio equals 748 million and together with our JV partner we continue to execute on the plan to grow the JV portfolio to $1 billion of assets. We believe that the increase in scale and the JV is attractive double-digit ROE will also enhance PNNT's earnings momentum. We continue to believe that the current vintage of middle market directly originated loans should be excellent leverages lower spreads and upfront fees are higher and covenants are tighter. The credit quality of the portfolio continues to perform well as of March 31st. we had one non-accrual out of 135 different names a PNNT. This represents 1.1% of the portfolio cost and 0% at market value. Our investment of Walker Edison has returned to accrual status after completing a balance sheet restructuring. PNNT has an equity ownership and Dominion voting, which subsequent to quarter end settled their lawsuit with Fox News for $787 million. Dominion has communicated their intention to distribute the net settlement proceeds, and PNNT share is estimated to be approximately $12 million. Now, let me turn to the current market environment. From an overall perspective in this market environment of inflation, rising interest rates, geopolitical risk, and a potentially weakening economy. We are well positioned as a lender focused on capital preservation in the United States, where the floating interest rates on our loans can protect against rising interest rates and inflation. We continue to believe that our focus on the core middle market provides the company with attractive investment opportunities where we are an important strategic capital to our borrowers. We have a long-term track record of generating value by successfully financing high growth middle market companies in five key sectors. These are sectors where we have substantial domain expertise, know the right questions to ask and have an excellent track record. They are business services, consumer, government services in defense, health care, and software technology. These sectors have also been recession resilient, and tend to generate strong free cash flow. And our software vertical, we do not have any exposure to ARR loans. In many cases were typically part of the first institutional capital into a company and the loans that we provide are important strategic capital that fuel the growth. And of that $10 million to $20 million EBITDA company grow to 30 million, 40 million, 50 million of EBITDA or more.  We typically participate in the upside by making an equity co-investment. High returns on these equity call investments have been excellent over time. Overall, for the platform from inception through March 31st. We've invested over $394 million in equity co-investments, have generated an IRR of 26% and a multiple on invested capital of 2.2 times. Because we are an important strategic lending partner. The process impact of terms we receive is attractive. We have many weeks to do our diligence with care. We thoughtfully structure transactions with sensible credit statistics, meaningful covenants, substantial equity cushions to protect our capital, attractive upfront fees, and spreads and an equity co-investment. Additionally, from a monitoring perspective, we received monthly financial statements to help us stay on top of the companies. With regard to covenants, virtually all of our originated personal loans have meaningful covenants, which help protect our capital. This is one reason why our default rate and performance during COVID was so strong, and why we believe we're well positioned in this environment. The sector of the market companies with 10 million to 50 million of EBITDA is the core middle market. The core middle market is below the threshold, and does not compete with a broadly syndicated loan or high yield markets. Many of our peers who focus on the upper middle market state that those bigger companies are less risky. That is a perception and may make some intuitive sense. But the reality is different. According to S&P, loans to companies, with less than 50 million of EBITDA have a lower default rate and a higher recovery rate, than loans to company's with higher EBITDA, we believe that the meaningful covenant protections of the core middle market, more careful diligence and tighter monitoring have been an important part of this differentiated performance. Since inception, PNNT has invested $7.4 billion, with an average yield of 12%. This compares to a loss ratio of approximately 22 basis points annually. The strong track record includes our energy investments, primarily subordinated debt investments made prior to the financial crisis, and recently the pandemic.  With regard to the Outlook, new loans in our target market are attractive and this vintage should be particularly attractive. Our experienced and talented team and our wide origination funnel is producing active deal flow, a continued focus remains on capital preservation and being patient investors. We want to reiterate our goal is to generate attractive risk adjusted returns through income coupled with a long-term preservation of capital. We seek to find investment opportunities in growing middle market companies that have high free cash flow conversion. We capture that free cash flow primarily through debt instruments, and we pay out those contractual cash flows in the form of dividends to our shareholders. Let me now turn the call over to Rick our CFO to take us through the financial results.
Rick Allorto: Thank you, Art for the quarter ended March 31st, net investment income was $0.26 per share, and core net investment income was $0.21 per share. Core net investment income excludes approximately $0.05 per share of one-time income related primarily to the acceleration of OID amortization in connection with the early repayment of our loan to PRA. Operating expenses for the quarter were as follows. Interest and credit facility expenses were 10.6 million. Base management and incentive fees were 7.6 million general and administrative expenses were 1.1 million and provision for excise tax was 450,000. For the quarter ended March 31st, net realized and unrealized change on investments and debt, including provision for taxes was a loss of 11.8 million or $0.18 per share. The change in the fair value of our credit facility increased our GAAP NAV by $0.02 per share. As of March 31st, our NAV per share was $7.60, which is down 1.4% from 771 per share from the prior quarter. As of March 31st, our debt-to-equity ratio was 1.43 times and our capital structure is diversified across multiple funding sources, including both secured and unsecured debt. As of March 31st, our key portfolio statistics were as follows. The portfolio remains highly diversified, with 135 companies across 30 different industries, the weighted average yield on debt investments was 12.1%. The portfolio was invested in 57% firstly, secured debt, 10% in secondly unsecured debt. 8% in subordinated notes to PSLF. 5% in other subordinated debt, 5% in PSLF equity and 15% in preferred and common equity. 96% of the debt portfolio is floating rate with an average LIBOR floor of 1%. Debt-to-EBITDA on the portfolio is 4.6 times and LTM interest coverage ratio is 2.8 times. The portfolio as a whole as a meaningful cushion with regard to interest coverage. On a sensitivity basis for overall interest coverage to decrease to 1.25 times, base rates would need to go up 150 basis points and EBITDA would need to decrease by 35%. Now, let me turn the call back to Art.
Art Penn: Thanks, Rick. In closing, I'd like to thank our dedicated and talented team of professionals for their continued commitment to PNNT and its shareholders. Thank you all for your time today and for your continued investment and confidence in us. That concludes my remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Paul Johnson with KBW.
Paul Johnson: Hey, good afternoon, guys. Thanks for taking my question. I just want to make sure I understand this right. But the settlement that you guys announced in the press release last night that 12 million. So, are we looking at potentially like an $0.18 sort of one-time payment in a future quarter? At some point? Is that the correct number?
Rick Allorto: Yes, that's correct, Paul. That'll come through as a dividend income.
Paul Johnson: Okay. Is that reflected in any way in the 331 mark, or is that mark, pretty much, I guess -- 
Rick Allorto: No, it is not reflected in the 331 mark.
Paul Johnson: Got it. Okay. I guess just kind of higher-level question, I guess in terms of like the opportunity set that you guys see today, in the past obviously subordinated secondly type of opportunities, junior capital opportunities have been part of the strategy in PNNT for a long time. The strategy has been moving away from that in today’s world. I'm just curious, is there -- are you starting to see any attractive opportunities in that part of the market? Or at this point, they’re just not enough of a differentiation between I guess maybe the first loan type of opportunities that you're seeing really stretched for junior capital?
Art Penn: Yeah, it's a great question. I think we've always even recently been open to second-lien Mez, the bar is high, the lesson we've learned is, you got to be right, and you got to be right quick, because of your Mez are second-lien, four years down the road. Something didn't go right. So, we're still up in the Mez and second-lien, some of the Mez today has a big pick portion. Because so much cash pay EBITDAs going towards paying the first-lien, we're not a lover of pick. So, our funnel for Mez in second, is going to be a little bit more selective, that said, our subordinated debt and equity that we buy in our joint venture, this PSLF joint venture, where it's mostly first-lien collateral underlying the portfolio. And we leverage it up a little bit more than what's in the BDC, is a very attractive return on invested capital, backed by cash pay, conservatively structured, senior debt. So that's kind of been where we've getting important and getting the incremental juice in this portfolio is building that JV. I think, as of quarter end, it was about 750 million of assets. For us, it was about a -- it was about $150 million investment, and continuing to grow that is a very -- we think a very nice way to get some incremental yield on the portfolio in a safe way.
Paul Johnson: That makes sense. And that's, that's helpful color there. On the opportunity set. Last question. Just on broadly on your equity co-investments, I guess -- are those investments, over time are they pretty much entirely dependent on some sort of M&A event from the sponsor, basically a sale the business, an exit that business for a realization of that equity co-investment, or are there other ways that can be constructed over time, I guess. For you guys to potentially cash out on some of those investments?
Art Penn: Yeah, so, good question. We're going any heads up with a sponsor, we've had a very good long term, 2.2 times MOIC over 17 years on that capital. So, it's been very accretive. And just like the sponsor, there's an M&A exit, there's potential IPO exit. And then there's certainly dividends that can come out of that, the Dominion voting situation, that'll be a dividend coming at us out of a company, because we're an equity shareholder. So, we’re really aligning ourselves I guess we could sell our equity to the sponsor, if we need or want liquidity. We haven't needed it and you generally don't like being on the opposite side of someone who may have slightly more information than you have. So, we haven't, elected that route, but we could if we needed or wanted liquidity, sell the stakes back to the sponsor.
Paul Johnson: That makes sense. And one last question, if I may, just going back real quick to the settlement payment in future quarter. Do you guys have any thoughts on terms of how you guys are going to treat that income? Special maybe like a special one-time dividend, retain part of it any thoughts on how you're going to treat it?
Art Penn: Yeah, so I, look, we always evaluate I don't think we have any predisposition. We're building some nice spillover. And that'll go into our dividend policy over the next year, year and a half. You saw a very nice bump in the dividend this quarter. We think it's sustainable based on ongoing NII. And we have this nice spillover that can potentially go into protecting that dividend over time.
Operator: Thank you. We'll take our next question from Robert Dodd with Raymond James.
Robert Dodd: Hi, guys. Congrats for the quarter. Just a quick question on -- any visibility in terms of buying in, I mean, obviously it will be a fairly significant benefit when it does occur to shareholders. Is it likely to occur in the June quarter or later just for modelling purpose.
Art Penn: We've been led to believe that will happen in this quarter that we're in right now the quarter ended June 30th.
Robert Dodd: Thank you, then on to the equity you've been, obviously is been declining as a portion of portfolio if we take out the -- still coming in mid-teens, the target as well on that process, but obviously, to your point that yes, you can potentially liquidate it but not necessarily you are having to do so. But how fast do you think -- how fast would you expect that to come down towards your target of tennish excluding the JV?
Art Penn: It's a great question. And yeah, look, it's tied to M&A deal flow, M&A deal flow as we all know, has been slow, year-to-date. So, what normally, when you make a private equity investment, people normally say it's a three-to-five-year life. And maybe things have been extended a year due to the market environment. So, look, I think we hope that over the next year or two, we're going to be able to get some reasonable exits and bring it down. I mean, back to the last question about Dominion. And that wasn't even included and the NAV for the March quarter, because we did not know it was an event as of March 31st. You could have put that $12 million into the mix and said, your equity percentage is higher than 15%. And that would have been right although this was a positive surprise out of the blue. So, I don't know yet. I can't really give you an answer. We're doing our best -- we're not in control of much of this. But knowing that over time, we've had well in excess of a two times MOIC on this capital. You just got to wait till it happens.
Robert Dodd: Got it. I appreciate that. Thank you.
Operator: We'll take our next question from Kyle Joseph with Jefferies.
Kyle Joseph: Hey, good morning. Thanks for taking my questions. Just wanted to talk about the originations environment. And walk us through the cadence in the quarter. Obviously, deal flows right again, M&A right out there but in terms of timing are January and February, fairly consistent? And did you see a big fall off in March post regional bank volatility and how the deal flow's been kind of quarter-to-date?
Art Penn: Yeah, so Q1, calendar Q1 was slow, as it normally is slow. And seasonally June’s, normally a slow quarter, made slower this year by the turmoil and the capital markets and the rising interest rates made even slower, since the banking situation. The banking issues that we've had. So, what's going on is buyers and sellers to a large extent, are still trying to figure out where they meet. Sellers still are hoping for value like it was a year or two ago and buyers are baking in higher interest rates and potentially, softening economy. So, until that -- until there's equilibrium between buyers and sellers, there's not going to be a lot of deal flow. That's statement one, statement two is we are starting to see more deal flow. So, we are starting to see buyers and sellers get together and our deal flow is picking up. No guarantees as to what's going to close between now and June 30th. And what's going to close after June 30, but it does feel like the second half of 2023 will certainly be busier than the first half.
Kyle Joseph: Alright, got it and then on the on the repayments were a little bit elevated in the quarter. Just wondering is that RAM? Is some other one time things in there? Obviously, it's never bad to get paid back and never bad to get paid back when it really boosts your other income. But just wondering if that's a one off or a trend?
Art Penn: Look RAM by definition is one off and that happened up past quarter and PRA, APRA which is this corporate events company that we invested in, that was exited and that's where that one-time, non-core positive fee came in. From that exit. It was a company that had its corporate events company.  So, by definition, in the middle of COVID it was struggling. And as you can probably sense people are getting out and about and traveling and corporate events have blossomed post COVID. So, that company really paid us back well and early, and we had a very nice exit fee as part of the redo of the capital structure in the middle of COVID, which generated the one-time fee income. So really, those are the two primary drivers. I mean, are they one time or ongoing? We'll see, we certainly, you're going to have certainly the companies that are tied to events and tied to travel. We have some trade show businesses, for instance, that were getting hurt and COVID. Those companies are now obviously doing very well. So, there might be more of that. And that is a piece of the portfolio. It's not an oversized piece, but it's a piece of the portfolio. And those companies are doing well.
Art Penn: Thanks, Kyle.
Kyle Joseph: Got it. Thanks very much for answering my questions.
Operator: We'll take our next question from Mickey Schleien with Ladenburg.
Mickey Schleien: Yes, good afternoon, everyone. Art lot of discussion about how folks are so excited about the current vintage of deals and definitely agree. I'm curious, whether you're being able to structure terms in these deals that will allow them to stay on the books, as long as you would like, given how attractive they are, whether it's the tenor or the prepayment penalties that you're building in or anything else that you're able to do to try to ensure that, this will show up in the income statement couple of years from now.
Art Penn: Yeah, it's a good question. And the average investment in this last quarter debt-to-EBITDA 4.3 times very attractive interest coverage two times, and LTV about 50%. So, this is an attractive vintage, and I guess that's the blessing of the equity co-invest. That's our tail, when companies do well, we have that tail, and we participate in and, and the company is doing well, we've had deals in the last six months where even post banking situation that couldn't a company deleverage to two or three-times debt-to-EBITDA on commercial bank took us out. That's great. If we're in the equity, we are participating in the lower cost of capital, by definition, it means the company is a good free cash flow generator. And at some point, that equity value will be ascertained in some way shape or form Dominion voting, paid off the debt. I don't know two years ago. So, we still have this residual equity co investment, which is paying off.
Mickey Schleien: Thank you for that. All right. Appreciate your time.
Art Penn: Thank you.
Operator: We'll take our next question from Mark Hughes with Truist.
Mark Hughes: Yeah. Thank you. Good afternoon. Is there any potential variability in that Dominion payout? Or is that pretty well said, Are there any final wrangling on the numbers?
Art Penn: That we were -- that's why I say approximately 12 million, there's still, there's legal fees and taxes that come off the top, but it's pretty in -- pretty in that zone pretty much in that zone.
Mark Hughes: Yeah. Art, what is your opinion on the credit environment here? We've been kind of tipping into recession for two years now. I'm just sort of curious how you think the economy is shaping up? You got a unique view from where you said, what's your stand?
Art Penn: It's a mixed economy, certainly not what it was coming out of COVID, which everything was going gangbusters. The consumer is particularly mixed pieces, the consumer on one hand is happy to go take trips and go take cruises and hop on planes and stay in hotels. On the other hand, when it comes to goods, it's been more cautious buying furniture Walker Edison prior nonaccrual was furniture company. So, Walker Edison did great during COVID. And doing much softer now. So, to bifurcated consumer you got to be careful in the consumer space. So, it's much more mixed. I think. Obviously, when we underwrite credit here, we assume there's a recession, there may not be one we may be able to skate by, which would be nice. But we assume there's a recession and when we do our, our credit underwriting, we're putting that in the model to see how these companies would perform in a recessionary case. That's our assumption as prudent credit underwriters. Our house view is probably there's there might be a light recession, but that doesn't impact our -- how we underwrite, we underwrite for a recession.
Mark Hughes: Yeah, how bad would the recession have to be for it to be material to the portfolio?
Art Penn: Hard to say I mean, I think Rick and his numbers gave this sensitivity around, EBITDA would have to go down something like 35%. And at the same time, which is contradictory, base rates would have to go up 150 basis points and you're down to one and a quarter times EBITDA to interest coverage. Obviously, if the economy is soft, the Feds not probably not raising rates. So, that's an interesting thing to think about, which is if the economy soft, the Feds probably reducing rates. Which will increase interest coverage, the yields will go down, we of course, have floors, but the yields would go down. But I think you can do the work as much as I can, I think, in an environment where yields are going down, investors may flock to yield vehicles like BDCs. To take advantage of high yields. So, we don't know the scenarios.
Mark Hughes: Thank you for that. Appreciate it.
Art Penn: Thanks.
Operator: We'll take our next question from Melissa Wedel with JP Morgan.
Melissa Wedel: Good afternoon. Thanks for taking my questions. I wanted to touch on the dividend increase in the June quarter. I think it's like the sixth quarter that you've done an increase the dividend. Just thinking ahead? Are you thinking about this dividend increase a little bit differently than the rest? Does this feel like maybe with where the forward curve is projecting right to go that this might be a good place to pause? Or will you keep looking to evaluate in the quarter?
Art Penn: Yeah, I'm on the Fed with my answer, Melissa, which is we're going to let the facts and circumstances dictate how we go. I mean, the various facts and circumstances would be, how's our JV expansion going? And is that going to continue to be able to generate more ROE. How's our rotation of equity going? Obviously, equity, rotation, and even things like Dominion, where we have, fresh equity powder. How's that looking to be able to rotate that into yield? How's our spillover looking, we have substantial spillover that's on the positive side. And then on the potential issue side is where our defaults or nonaccruals were our long term rates, and our cost of financing. So, I think, every quarter, we do our best we look at the facts and circumstances. And, and do our best, we're very pleased that, we've taken a dividend up from $0.12 cents to $0.20 cents in a relatively short period of time, which does, in fact, mimic the NII and earnings, of the company. And we'll see where we go from here.
Melissa Wedel: All right, fair enough. Thinking about portfolio leverage, and where you guys are right now. Certainly, there's been rotation in the portfolios. But leverage is still fairly high. It doesn't sound like you're particularly pessimistic from a macro perspective. But how? How are you thinking about portfolio leverage? And where would you like to run that in an environment with the opportunities that you're seeing today?
Art Penn: Yeah, and we did, yeah I think we mentioned in our remarks, we're targeting -- we targeting one and a quarter of time. So, we're a little over levered. At this point, we're confident that with, some repayments and some, equity rotations, we can easily glide down to that we are conscious of our account, conscious of our credit rating, it's important for us to, for attractive debt capital to keep a strong credit rating. So, we'll gradually let it grind down to one and a quarter’ish, one and a quarter area, over the coming time period, at the same time as we try to optimize the joint venture and the financing and the JV and the ROE, from the joint ventures at the same time as we try to rotate equity.
Melissa Wedel: That's helpful. Thanks, Art.
Art Penn: Thank you.
Operator: We'll take our next question from Casey Alexander with Compass Point.
Casey Alexander : Hi, good afternoon. I have two questions. First of all, in relation to dominion. I'd ask you to put my hat on for a second. And ask, would you model it in and if you modeled it in what quarter would you model it into?
Art Penn: Again, we've been told that it's this quarter ended June, never any guarantees, but that's what we've been told. I'm just giving it to you straight. And that's just -- it's a -- you can’t say it's recurring. I mean, this is -- it's like sometimes when you get your equity co-invest really blossoms into something great, you can't really model it's just like nice upside to offset the inevitable downside you have as a lender from time-to-time. So, when we think about what it means to NII in dividend, it's obviously not recurring next quarter, hopefully, it'll be in there. And we'll say it's nonrecurring. It does build spill over though. So, as we think about long term dividend policies does impact that.
Casey Alexander : Yeah. And it adds DNA. And I believe, a previous question said $0.18 a share. I think when you net it out with versus incentive fees, it's more like $0.14 or $0.15 a share, I think is the real impact. My second question is, I realized it's a small position, but the restructured loan of Walker Edison, my understanding is that it's 100% pick, did you consider leaving it on nonaccrual for the time being, until such a point in time as the company is able to turn that into more of a cash pay instrument?
Art Penn: Yes, it’s a good question. I think the independent valuation firms are marking that instrument at par. And I would say it's a good question. It's not -- by the way, it's not really material in PNNT at this point anyway. But it's a good question. I think our valuation firm said, hey, it's a par instrument. Grant granted, if in a couple quarters, the company doesn't perform well, and it starts to get marked down. I think. I think we'll take another look at that. Again, thankfully, it's not that big of an investment for us at this point, it's underperformed, we're certainly hopeful that the company will find its footing and people will buy furniture from this company, and it will have a steady EBITDA. And at some point, we certainly hope our debt is paid off and our equity has value. But it's early days.
Casey Alexander : All right. Well, I'm fully cognizant that in your actual your original investment in Walker Edison, you guys took a very attractive game. So, there is two sides to this story. So, alright, thanks for taking my questions.
Art Penn: Thanks, Casey.
Operator: That will conclude our question-and-answer session. At this time, I'd like to turn the call back over to Mr. Penn for any additional or closing remarks.
Art Penn: Want to thank everybody for being on the call today? We'll talk to you next time in early August for June 30th numbers. Thank you very much.
Operator: Thank you. That will conclude today's call. We appreciate your participation.